Operator: Greetings and welcome to the Dorian LPG Fourth Quarter and Full Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Additionally, a live audio webcast of today’s conference is available on Dorian LPG’s website, which is www.dorianlpg.com. I would now like to turn the conference over to Ted Young, Chief Financial Officer. Thank you. Mr. Young, please go ahead.
Ted Young: Thank you, operator. Good morning and thank you all for joining us for our fourth quarter and full year 2016 results conference call. With me today are John Hadjipateras, Chairman, President and CEO of Dorian LPG Limited; and John Lycouris, Chief Executive Officer of Dorian LPG USA. As a reminder this conference call webcast and replay of this call will be available through June 7, 2016. Many of our remarks today contain forward-looking statements based on current expectations. These statements may often be identified with words such as expect, anticipate, believe or similar indications of future expectations. Although we believe that such forward-looking statements are reasonable, we cannot assure you that any forward-looking statements will prove to be correct. These forward-looking statements are subject to known and unknown risks and uncertainties and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates prove to be incorrect, actual results may vary materially from those we express today. Additionally, let me refer to you to our fourth quarter and full year 2016 results filed this morning with the SEC on Form 10-K, where you’ll find risk factors that could cause actual results to differ materially from those forward-looking statements. With that, I’ll turn over the call to John Hadjipateras.
John Hadjipateras: Thank you, Ted. Good morning and thank you for joining us. After my brief intro, Ted will review our financials and John Lycouris will update you on the broader market and our operating environment, and finally we will take questions. In the fourth fiscal quarter, we took delivery of the Caravelle, the final VLGC from our newbuilding program. In total, we took delivery of the eight ships in the last two quarters and 17 this past fiscal year. Following the sale of our small pressurized gas carrier in February 2016, our fleet is comprised entirely of VLGCs, most of which were designed with ECO specifications. Dorian is a largest owner of ECO VLGCs, owning 22, all built to high specifications at two of the world’s best shipyards. Our spot ships are commercially managed through the Helios Pool, which we founded and jointly owned with Phoenix Tankers, a subsidiary of Mitsui OSK. The Helios Pool comprises 24 VLGCs, including 18 owned by Dorian, 4 owned by Phoenix Tankers, a subsidiary of MOSK, and two owned by Oriental Energy, one of the largest PDH plant operators and LPG importers in China. In March 2016, we announced that the Helios Pool entered into a COA with Oriental Energy covering their shipments from the U.S. Gulf, and that the Helios Pool will operate eight VLGCs for Oriental Energy. Outside the Pool, we have four VLGCs on time charter, three of which have a duration of greater than two years. For the quarter ended March 31, 2016, our spot VLGC utilization rate was 91% and our overall VLGC utilization rate was 93%. As a reminder, we calculate utilization as defined in our filings by dividing our total operating days in a period by the total available days in that period. The average TCE for our fleet including time charter ships was $46,000 a day, and for our spot ships $50,000 a day. We’ve been in the shipping industry for over 40 years and in the last - in the LPG markets since 2002, and we’ve seen many market ups and downs. We and on our board continuously assess the most appropriate capital allocation strategy to best serve our shareholders, including the relative benefits of share repurchase, dividends, debt pay-down and acquisitions. In accordance with our previously authorized share repurchase program, the company repurchased approximately $10.9 million worth of LPG shares or 1.1 million shares in the fourth quarter. The company now has 74.1 million remaining under its authorization. Let me now hand over to Ted.
Ted Young: Thank you, John. The quarter’s results reflected a strong freight market, high vessel utilization, and a full quarter’s contribution of the seven newbuildings delivered in the prior quarter in addition to partial contribution of the Caravelle and good management of our costs. Before I move on to discuss the results for the year and the quarter, I would like to remind you that our business should be viewed from a long-term perspective. For the quarter ended March 31, 2016, we reported total revenues of $85.3 million, representing net pool revenues from the Helios LPG Pool, charter hire and voyage freight revenue earned for our VLGCs and our one pressurized vessel, which was sold in the middle of the quarter. As we previously described, we reported results for the Helios LPG Pool, which commenced its operation on April 1, 2015, as part of our total revenues. We report our share of the Helios results as net pool revenues on our income statements, which represent our percentage participation in the pool revenues, less pool voyage expenses and pool G&A expenses. For the quarter, that amount was $72.2 million. Time charter equivalent revenues per day across all of our VLGCs including those in the Helios Pool amounted to $46,735, while our spot VLGCs alone earned $150,142 per day during the quarter. Voyage expenses during the quarter were $700,000, a 91% reduction from the three months ended March 31, 2015. The decrease was due to the increase in the number of our vessels operating the Helios LPG Pool or our voyage expenses are netted against revenues. With the sale of the Grendon, my comments on our vessel operating expenses will relate solely to our VLGC fleet. In addition, we have completed our program of training new officers, which had the effect of increasing our reported daily operating costs. So in the basis of our VLGCs-only, and excluding the effect of the training costs, vessel operating expenses for the quarter were approximately $16.3 million or $8,326 per vessel per calendar day, which is calculated by dividing the vessel operating expenses by calendar days for our VLGCs for the relevant time period. For the comparable three-month period in 2015 and again stripping out the effects of the training program, our OpEx per day was $9,785 per day. Our daily operating expenses have continued to perform at or exceed our originally budgeted level. And we are confident that these OpEx levels will remain competitive going forward, particularly given the young age of our fleet and our commitment to high maintenance standards. General and administrative expenses of approximately $9.8 million for the quarter included a $3 million cash bonus expense. We do not accrue our cash bonus expense over the course of the fiscal year unless recognized 100% of the expense in the quarter. It’s worth pointing out that while the number of vessels in our fleet increased by over 250% year over year, our G&A increased by only 40% over the same time period. This is a clear indication of the benefits of economies of scale in our business. Depreciation and amortization for the quarter totaled roughly $15.9 million. This figure related primarily to depreciation of our operating vessels. Our reported interest and finance costs for the quarter was $7.1 million, which was comprised of interest expense on our debt, amortization of financing costs and other financing expenses of $7.2 million, offset by capitalized interest of $100,000. The other fees of our cash interest expenses, booked as a realized loss on derivatives, amounted to $2.4 million. The other fees portion of the $15 million loss on derivatives will be unrealized loss of $12.6 million, resulting from changes in the fair value of our interest rate swaps. The unrealized loss on derivatives amounted to $0.23 per share for the quarter. The unrealized loss was principally result of unfavorable interest rate movement during the quarter. We currently have approximately 67.5% of our existing debt facilities hedged. We continue to consider entering into additional interest rate hedging transaction. Overall for the quarter, we reported adjusted net income of $33.8 million or $0.60 in adjusted earnings per share, and net income of $20.2 million or $0.36 per share. Adjusted net income for the three months ended March 31, 2016, stripped off the effects of the unrealized losses on derivatives of $12.6 million and $1 million of loss related to the sale of the Grendon. Our EBITDA as defined in our filings for the quarter was $59.1 million. During the quarter, we also repaid $19.9 million of bank debt under of our two bank facilities. For the fiscal year, we reported revenues of $289.2 million; our vessels on a daily time charter equivalent rate of $55,087 a day; our vessel OpEx was $47.1 million or $8,581 per calendar day. As I noted before, this amount included $2.4 million of cost incurred to train new officers for our newbuildings. That program again has been fully completed. Considering only the results for our VLGCs, we had a total TCE of $57,377 per day for the year and the Spot vessels generated a TCE of nearly $64,800 a day. Our OpEx per day for the VLGCs only for the year just ended, again excluding the doubling up cost for the year, amounted to $8,254 a day. For the 12 months ended March 31, 2016, we reported adjusted net income of $139.6 million or $2.46 a share in adjusted earnings. And net income of $129.7 million or $2.29 per share. Adjusted net income contains the adjustments mentioned earlier for unrealized losses on swaps and a loss on sale of the Grendon. We reported adjusted EBITDA for the year, again as we use that our term in our filings, of $204.9 million. From a cash flow and liquidity perspective, we generated [$151 million] [ph] of cash flow from operation, an increase of roughly $125 million from the prior year. This increase is primarily attributable to higher earnings, driven by an increase in the size of our fleet from seven vessels as of last year to 22 vessels as of March 31, 2016. As of March 31, 2016, we had total outstanding indebtedness of $836.4 million including $726.9 million drawn under our 2015 debt facility and $109.5 million under the RBS facility. The RBS facility amortizes $9.6 million per year in principal, while the 2015 facility was now fully drawn, amortizes approximately $56.4 million per year. We finished the year with $46.4 million in unrestricted cash and equivalents, and $50.8 million of restricted cash. We are comfortably in compliance with all financial covenants out of the two loan facilities. We continue to have cash breakeven cost per calendar day of $23,000 to $24,000 a day, which includes vessel OpEx, cash G&A, cash interest expense and principal amortization. Since January 1, 2016, the company repurchased 1.6 million shares or $15.9 million worth of stock, bringing our total repurchases under the stock buyback plan to $25.9 million. We continue to see good value in our stock relative to the value we see in our fleet. We remain focused on conservatively managing our balance sheet to allow us to operate our business in all economic climates. Our modern fleet and efficient operations should allow us to continue to generate strong earnings and cash flows. With that, I will turn it over to John Lycouris.
John Lycouris: Thank you, Ted. LPG export volume for the U.S. had been strong in the first five months of this calendar year, hitting new export monthly records of over 2.3 million tons in each of January and May. With June 2016 have committed we count over 220 VLGC cargoes committed next [fiscal year] [ph]. More than 80% of those cargoes are expected to originate from the U.S. Gulf export terminals with Marcus Hook and Ferndale are expected to export the remaining cargoes. In particular, we expect Marcus Hook to continue loading four VLGC vessels a month for the rest of the year and we expect that that this terminal cargo load schedule require seven to eight more vessels to services exports. The destination of the U.S. LPG exports is another noteworthy development. More than half of the U.S. cargoes are destined for Far East discharge. As a result, VLGC utilization has remained high above 90% for most of this year and it is evident from our result. The VLGC fleet has an increase of 60 vessels in 2015 and 2016, and another 22 newbuilding vessels still remained to be delivered within 2016. The fleet now counts 223 VLGC vessels of which more than 15%, about 35 vessels, are over 20-years-old. With more than 80 million tonnes of ship-borne LPG product expected in 2016, we believe most of the vessels will remain well utilized, while expecting that some of the older vessels will be removed from the fleet. The New Panama Canal will require - will likely open to commercial traffic during mid-year, initially with less traffic, about 12 meters, due to low water levels at the lakes which has been a function of El Niño. The Panama Canal will allow fully late new VLGCs to transit the canal, taking business away from smaller size LPG vessels that are currently used to ship LPG cargoes to Pacific side or ventcotrend [ph] shipment to the Far East. The voyage to the Far East from the U.S. Gulf terminals would likely be about the 11 to 12 days shorter than via the Cape of Good Hope. We believe the Canal toll levels, currently set about $200,000 for letting VLGC, the cost of fuel and spot market rates will dictate whether the use of the New Panama Canal will become dominant. The Middle East Gulf exports have continued to grow this calendar year by about 4% to 5% year on year. Extrapolating the first four months of this year, we expect that calendar 2016 LPG exports to reach more than 37 million tons versus the 35.6 million tons exported in calendar 2015. With the gradual loosening of restrictions Iranian exports have picked up as have the Qatari Exports, both of which account for the incremental LPG volumes from the Middle East Gulf. On the demand side, India and China have more recently become the dominant markets for LPG volumes. India is in track to well exceed 10 million tons of LPG imports in 2016 versus 9.2 tons in 2015. At the present time, only 64% of the country’s population has LPG connection. The five-year government plan intends to bring 10 million rural connections per year for the next five years into 2020. The plan extends to 2025 and anticipates an additional 50 million rural users. The Indian government’s new subsidy schemes have also been successful in allowing the marketing of 5 kilo LPG bottles and those schemes allow 20 LPG bottles per user or about 100 kilo per annum. This subsidy campaign aims to add 1 million users each year for the next five years. A number of new import per terminals are also planned in 2017 for India and one is currently under construction in Cochin in Southwest India and others are in Paradip plant by Indian Oil Company, and Mundra in the West Coast of India, and at the Haldia Dock Complex import terminal, which will be capable to import 1 million tons of refrigerated LPG per annum. China imports of LPG in the first quarter of 2016 have increased year on year by 1.4 million tons to 3.6 million tons and marked import growth for East China, which is through passing the customary South China port imports. During 2016, we have seen very good demand for LPG fixed dock imports from the Chinese PDH plants, which were closed or running at low utilization in the last quarter of 2015 due to an attractive propylene economics. In the first quarter of 2016, the lower propane prices benefitted those PDH plants with very good propylene malagents [ph]. There are number of new PDH plants that are expected to start operations during 2016, both in China and in South Korea, which will require additional volumes of LPG. The general benefit from low oil prices in the first quarter of this year may come to an end by midyear as prices creep up, summer is factored in, and most of the record listings of LPG destined to the Far East to reach those markets resulting in abundance of product and a fall in demand. However, the seasonal LPG restocking program will soon commence as it usually happens in the third quarter of the year requiring rebuilding of stocks in the West. And as a result we’ll have an increase of activity in the LPG market. To summarize, we continue to see LPG export growth, which has supported the fleet growth and establish LPG as a mainstream fuel and feedstock to the global energy markets and to the world economy. Thank you.
John Hadjipateras: Thanks, John. Operator, can we open up for questions, please.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Mike Webber with Wells Fargo. Please proceed with your questions.
Unidentified Analyst: Hey, this is Donald stepping in for Mike. Good morning, gentlemen.
Ted Young: Good morning.
John Hadjipateras: Good morning to you.
Unidentified Analyst: My first question is on the market in general. We saw rates bottom out for VLGCs a bit blow $20,000 per day. But based on your expectations of LPG inventory stockpiling in the Atlantic basin, is it fair to say that you think VLGC rates bottomed in Q2 and should move forward in Q3 based on seasonality? And can you give us just your thoughts around the timing and maybe the strength of what a typical seasonal rate increase within the VLGC market would be?
John Hadjipateras: That’s an easy question, we can’t answer it.
Unidentified Analyst: It’s fair. And then, there has been a lot of talk of consolidation remains a feature within the market, especially with some of your competitors having an equity stake in them, other VLGC players. Can you just talk to the potential consolidation moving forward, because it seems to be asset values are easing a little bit?
John Hadjipateras: I think the dynamics are kind of the same with everybody in the same boat. We felt and I think our peer group feels that the market can benefit from consolidation. But it’s not something that is desperately needed, but it would be positive if it happens, this is where we are. And we haven’t anything going on right now that would be reportable.
Unidentified Analyst: All right, that’s it for me; thank you for the color, gentlemen.
John Hadjipateras: Thank you.
Operator: Thank you. Our next question comes from the line of Spiro Dounis with UBS. Please proceed with your question.
Spiro Dounis: Good morning, guys. How are you?
John Hadjipateras: Hi, Spiro. Good morning to you.
Spiro Dounis: Good morning. So just want to follow-up on that first question, just around rates and instead of focusing on spot maybe we look at the charter market, which I assume would have a little more clarity. Just wondering what you’re seeing there and if your incentive right now in this market is a little stronger to start chartering more, or if you still feel pretty comfortable the Helios Pool may be sticking through it to the next third quarter?
John Hadjipateras: Well, we’ve been comfortable pursuing period when we can get it and at rates that we think make sense. So that I wouldn’t say that we are more comfortable now, because the rate, the period rates really are off from what they were, certainly when we were talking six and 12 months ago. But, again, if we have the opportunity to go for what is our stated aim to have a balance book, we will. And we are not going to make judgments every day, whether the rate is, if today’s 12-month rate is $30,000 or it’s last year about this time it might have been $65,000, I mean, we will do what the rates are. So long as they’re above breakeven and makes sense we’ll just pursue a balanced book. So I think the opportunities probably are coming more than there, because the market sentiment it has been a very cautious. And I think when we see it, the seasonal uptick, the period - the potential period players will come in, because probably they don’t have adequate cover for their needs going forward.
Spiro Dounis: Okay. That makes sense. And so just looking at the decision you guys made to buy back shares again, I think that makes a lot of sense obviously just given where you’re trading, just wondering how are you thinking about deleveraging here and whether or not that takes more of a precedence going forward. And sounds like you said, you repaid $19 million during the quarter. Was that all just straight amortization or was that you electing to prepay some debt?
John Hadjipateras: We haven’t done any prepayments yet. I will give you, Ted, to give you a little [sound of reference] [ph].
Spiro Dounis: Okay.
Ted Young: Yes, first, Spiro, like John said, that was all straight scheduled amort. Yes, we continue to think about it, I think there is obviously - it’s obviously weighing the balance, because I will say, if you look at the implied value per VLGC that’s embedded in our current stock price, it’s pretty attractive. And so, our cost of capital is pretty competitive, our debt cost of capital is quite competitive. We are happy about where that sits. So to the time being, hard to say and I wouldn’t preclude any options, but I suspect the biases will continue to be towards the stock buyback. We do see value there. But we are always looking at our debt capital structure to figure out what the best approach is.
Spiro Dounis: Okay. That makes sense. And maybe just along those lines I’ll add really quick one. You made the decision to sell the Grendon. Once again I think that’s sort of obvious. It didn’t really fit into the structure necessarily. But as far as non-ECO VLGCs go, I mean, they’re all producing right now for you, so no real driver to sell them, but from being an opportunistic, I guess, it doesn’t make sense here to maybe sell those and then repurchase some stock, like you said if your implied stock value you’re saying something really low about the vessel value, does that not make sense?
John Hadjipateras: Well, Yes. They would, but it’s not - the market is not that liquid. So it would - one of them as you know is on a long term time charter anyway. But yes, I think that would make sense. And in fact, as you know, we had completed sale of a newbuilding at some point which - and so we would do - again, we would follow this opportunistic path, when we can get it. But it’s a question of whether that when and where we identify the opportunity.
Spiro Dounis: Got it. Okay, looking forward to catching up next week. Take care, guys.
Operator: Thank you. Our next question comes from the line of Erik Stavseth with Arctic Securities. Please proceed with your questions.
Erik Nikolai Stavseth: Good morning, guys.
John Hadjipateras: Good morning, Erik.
John Lycouris: Hi, Erik. Good morning.
Erik Nikolai Stavseth: Hey, so a couple of questions for me. First of all, I mean, you are now fully delivered after a very busy year. You have four VLGCs on time charter. And I’m just so curious like what’s your next step. I mean there were some discussions here about charter market. There were some discussions about when the seasonality kicks in. Just trying to figure out, where you guys heading next.
John Hadjipateras: Right, we are heading toward - well, yes, we are looking forward to the market improving to be frank with you. I think that the prices have been - the charter rates have fallen more than is justified by the dynamics - by the market dynamics. I think the fundamentals of the market, as John Lycouris explained in his introduction, are quite strong, and that the fears of a drop off in production, if they materialize that we haven’t seen those signs happening. So we are kind of looking forward to continuing our execution and enjoying some better rates frankly, this is what we, I’d say, we are looking forward to.
Erik Nikolai Stavseth: Okay. And then, in terms of you say that the rates have been lower than what you see in terms of how the market - or the market utilization has been. You see those rates are a consequence of the arbitrages and then call the available economics with shipping no longer being the bottleneck or is it something else that you can explain why the rates have been so soft in Q1?
John Hadjipateras: Well, at the end the rate is soft based on market sentiment. And what I am saying is that I think that the market is more negative. The sentiment is more negative than is warranted by the fundamentals. Of course, there has been a big supplier ships that entered the market and is expected until the end of the year. But this has been absorbed and that’s pretty evident from the utilization rate, not just of our own and our peer group, but across the industry you can see that there has been a good utilization rate of the - so that in itself wouldn’t be enough. The arbitrage, yes, it has been [pretty cruising] [ph] and the window isn’t big enough to support big rates. But, again, as you know the mix of the cost of the people who ship, the off-takers, is such that I don’t think what we see as a headline rate is always the determinant of what the arbitrage is. So we think that the rates where they are have potential for upside. This is kind of where we come out.
Erik Nikolai Stavseth: Okay. And then, turning to the Oriental Energy COA, I mean, right now you are operating the vessels for Oriental. Do you have any thoughts on putting or in terms of doing COAs for your own fleet and looking in some employment on those vessels?
John Hadjipateras: We do, yes, you mean, in addition to what we have foreseen on the Oriental deal, right?
Erik Nikolai Stavseth: Right, but that’s Oriental on vessels, right?
John Hadjipateras: Yes, Oriental, well, it’s - we don’t operate their ships strictly against their requirements. We’ve taken in their ships and handle all their requirements. So at the end it is a wash. But it’s a bit of a logistics sort of service. But whether we want to do COAs, it really is a same question as period. I mean, we would do it if the rates are right. And we are looking and we are talking to people, but there is nothing at the moment that we have that we’re working on.
Erik Nikolai Stavseth: Great, cool. And last question for me, maybe to Ted. And what’s your estimate for cash breakeven that’s all-in, OpEx, SG&A interest and amort?
Ted Young: Yes. As we said in the call, we still - cash would lie around $23,000, $24,000 a day.
Erik Nikolai Stavseth: Yes, I’m sorry, I didn’t catch that. Sorry, that’s good. Okay, well, I mean you do have the by far cheapest resale to the market based on your implied share price. So thanks all, guys.
John Hadjipateras: Thanks, Erik.
Ted Young: Thank you.
Operator: Thank you. Our next question comes from the line of Noah Parquette with J. P. Morgan. Please proceed with your question.
Noah Parquette: Thanks. Good morning. I just wanted to ask about the Panama Canal. You gave some good color there, the data-point about 50% of the cargoes just going to Asia. Have you seen any specific interest in your vessels going through the new Canal yet? I mean, is your sense that that 50% number increases or will it just stay flat and will it just have different ton-miles? Just a little more color there would be great.
John Hadjipateras: Yes, John Lycouris will tell you, he will.
John Lycouris: Yes, hi, Noah. Yes, I feel - there has been interest indeed from most of our charters that they’re interested in getting those ships past the Panama Canal either loaded or in balanced for the own purposes. And I think that it will depend on the trade, it will depend if there is a tight window of delivery, that as I said you have to wait for the fuel, the stock market leads and money that you have to pay for tolls, and some delays at the Canal to get through, because you will not get through on the day that you decide to go through. So…
John Hadjipateras: Noah, I think I should just clarify. The interest we’ve had is exploratory. So I think so far, we’ve only had one schedule or one sort of intention to schedule a ship through in balanced. But otherwise everybody is asking questions about how long the notice is, what the drives [ph], the mechanics, the costs, et cetera.
John Lycouris: That’s correct.
Noah Parquette: Okay. That’s pretty helpful. Okay. And then, I wanted to ask, with the kind of the drop in rates, there still is pretty heavy delivers, have you seen anything anecdotally or have you seen anything about vessels being delayed, deliveries being delayed, what’s your sense on that?
John Lycouris: Noah, it’s John again. There have been some delays in some shipyards that are facing continued problems due to fires, and the work has been delayed a little bit. They are trying to catch up, one of the major yards in Korea. I am seeing some ships being delayed as a result of those fires, but not delays across the board for all the ships being produced, only a few particular ships that had fallen behind as a result of that fire accident. So that’s all I know and I don’t know about China, but I’ve been following it closely, I think that everything is on track.
Noah Parquette: Okay. And just lastly, I thought I heard you say that you had $74.1 million remaining on your share repurchase, is that right?
John Hadjipateras: Yes, that’s correct.
Noah Parquette: So does that imply you bought back almost $6 million since quarter end?
John Lycouris: It implies that we bought back about $5 million at quarter end.
Noah Parquette: $5 million, sorry, yes. Okay. All right. I just want to make sure I heard that right. Okay, thanks. That’s all I have.
John Lycouris: Thanks.
John Hadjipateras: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Amit Mehrotra with Deutsche Bank. Please proceed with your question.
Amit Mehrotra: Yes, thanks, good morning, afternoon, gentlemen. Good morning actually. I had a quick question on the supply-demand balance. I mean there certainly is expectation of incremental export capacity. But then there is obviously incremental supply growth as well. I mean, you did say that you should look at this business through a lens of a, I guess, long-term view. I agree with that, but if you can just help us sort of with the math from a quantitative standpoint, in terms of how you think incremental capacity kind of will be absorbed? And then just a follow-up to that, maybe a little of a naïve question, but how much of the recent reduction in the rates is more psychology-driven as opposed to a real sort of tangible inflection in demand and supply? Thanks.
John Hadjipateras: Thanks, Amit. John Lycouris will give you a little bit. I think, I addressed the psychology thing. You can’t really put a number on psychologies of the market, why was the market $140,000 and why is it $20,000. The inflection point then has a dynamic after you reach an inflection point. But we continue to think that the fundamentals, like John will tell you now, are stronger than the rates reflect today.
John Lycouris: Amit, hi. As I said in my part on the script, Marcus Hook for example has started loading four ships a month that will require additional tonnage. It’s just a new development. The first that this terminal has loaded four ships was in April. We expect and we know that four ships are going to be loaded from all the months from now on. We know - everybody knows increased their capacity and they had been exporting about 10 ship-loads a month extra than they used to. So I feel that there has been an increase, an incremental capacity being put in place. It’s just maybe smaller than it used to be, after the enterprise which was the substantial increase. We have Marcus Hook and I’m sure that Ferndale and the West Coast will also have increased capacity as well. We’ve seen a number of ships being loaded there as well.
Amit Mehrotra: Do you have an updated view? I know you put stuff out in your previous slide-decks. Do you have any updated views in terms of how much incremental export capacity we’re going to expect over the next couple of years at least?
John Lycouris: Well, we have put out as you know Phillips 66, which will come in at the end of the year. And that’s as far as we have seen as new capacity coming in, we have not seen any additional capacity except Phillips 66 right now. There are other terminals but they have not really started committing cargoes in earnest. So I can’t say that.
Amit Mehrotra: Okay. Thanks for that. Just one more quick-question for Ted, just wondering where the company is on an LTV basis, I’m thinking around 50% and just wondering if that’s the right percentage. And the question here is that the cash flow, hopefully the surplus cash flow accrues to the balance sheet, is that what we should expect to happen just to further de-risking? I’m just trying to get a sense around the parameters of what the company or the management team thinks as optimal leverage as opposed to maybe over-leverage or even under-leverage if you can just sort of bookend those percentages for us. Thanks.
Ted Young: Sure. On the LTV, since the - in this day and age, the ship brokers, they’ll let you share those levels. But we’re obviously pretty widely correlated. So your math is absolutely in the right zip-code in terms of loan to value. I think how we think about debt however is in so much LTV. It’s a nice rule of thumb. But at the end of the day it’s cash that pays the bill. So cash breakeven is really what we focus on. I think at this point with 23,000 to 24,000 a day, we’re comfortable with that. If we had to figure out how to reduce that, we got some - we have some - we got some plans in the drawer if we had to cut those breakevens further. At this point, we’re happy with that. In terms of what we do with cash flow over and above the breakeven levels, look, some of that depends on - it’s sort of a multi-headed Hydra. So we got our outlook on the world. And so, if we’re feeling pretty good, that I think you’ll see more of that cash deployed to repurchase stock, again, assuming the values are compelling. If the values increase to a point that we think they are more reflective of the intrinsic value of the company, we might look to reduce debt. Dividend is always on the table. And look, if we feel that rates are going to be soft for a while, you’ll probably see us continue to grow that cash buffer because, again, that’s what we focus on.
Amit Mehrotra: Sorry. Just a follow-up on those comments, how low - I mean what type of reduction if push comes to shove essentially and this market doesn’t cooperate, how low do you think you can take that breakeven from where it is today?
Ted Young: It’s a totally appropriate question, Amit, but I’m not going to answer it.
Amit Mehrotra: Okay. Let me ask it another way. How do you balance using the cash cushion with the firepower of the company, either do incremental debt capacity or just cash on the balance sheet, how do you balance sort of prepaying some of your obligations to lower the daily cash burn versus actually giving up some of the cushion, how do you think about that?
Ted Young: Well, I think that’s kind of a straight forward mathematical calculation, right? I mean, we look at - when we look at it, we sort of look at it at a discounted and undiscounted payback on what it would mean. I mean, for example, we have - if you look at - it’s in our numbers. So if you look at some of our hedges, we look at some of those that we’d put on in - at a different rate environment. We might consider looking at that, because that is a pretty immediate and pretty quick payback, in terms of how we could lower those costs. The debt that we have in place, particularly on the - well, the margins frankly on both pieces of debt are pretty low, so they’re pretty attractive. The hedges that we have in place on the new debt facility, we’re very happy with the levels at which they - we had [Technical Difficult], so we look at the other hedges on the RBS facility, yeah, we might and that has some pretty good payback. On the other hand, there is no real impetus to do it, because as I said, we’re comfortable with our cash position and we’re comfortable with our cash breakevens.
Amit Mehrotra: Yes, so one last question for me. So I mean, is it reasonable to basically assume, I’m not trying to hold you on our number here. But those breakeven levels, you could split the difference between OpEx and whether it is on a fully loaded basis and get to somewhere in the mid-teens, is that a more - is that an expectation that we could have as this market really sort of goes down further or stays weak? I mean, any help in terms of order of magnitude?
Ted Young: Well, I mean, look, if you look at where we are, OpEx I would say is fairly sacrosanct in our business, because - or at least from where we look at it. I mean, you don’t want to have the cheapest crew. We’re not going to cut on repairs and maintenance. We’re not going to cut insurance. So there is really not much in the way of OpEx that we’d really target. We think it’s a bit shortsighted. G&A, okay, we can always look at and with our - with the other pieces of the equation, right, I mean, interest, that’s the one lever we can pull. We can look at paying down some of the hedges as I said. Amortization is amortization, now because of the way the debt agreements work you don’t get - the benefit of a reduction in indebtedness is really recognized over the remainder of the life of the loan and we have pretty long-dated debt. So that doesn’t move the needle much. So, I guess, this sort of answers your question, because it’s a fair question. But if we needed to, I think the first thing we’d probably attack is the interest expense. Certainly, we can look at G&A. There is always - that’s obviously the first the management team is going to look. But I’d say interest is pretty - it’s certainly an opportunity as well.
Amit Mehrotra: Got it. Okay. That’s all I had, thanks, Ted. Thanks, everybody. I appreciate it.
Ted Young: Thanks, Amit. Take care.
John Lycouris: All right.
Operator: Thank you. Ladies and gentlemen, we have come to the conclusion of our time allotted for questions. I now turn the floor back to Mr. Hadjipateras for any final remarks.
John Hadjipateras: Okay. Well, I just want to wish everybody a happy June and see you next time. Thanks for participating. Bye-bye.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.